Operator: Thank you for joining the Thai Beverage First Half 2024 Results Call. [Operator Instructions]. I will now hand over the call to the presenters, Ms. Namfon Aungsutornrungsi, ThaiBev's Head of Investor Relations; and the members of ThaiBev's senior management team. Thank you.
Namfon Aungsutornrungsi : Good evening, ladies and gentlemen. Welcome to ThaiBev's First Half 2024 ended 31st of March 2024 Financial Results Conference Call. I am Namfon Aungsutornrungsi, Head of Investor Relations. For the call tonight, I will start with a summary of our first-half results, then we will open the line for Q&A with our management team here. For the summary of the first half results, the total sales revenue of the company for the first 6 months was 147,742 million, a slight decrease of 0.4% when compared to the same period last year. This was due to a decrease in sales revenue of the beer business. The net profit was INR 15,970 million, a decrease of 4.9% compared to the same period last year. This was due to a decrease in the net profit of the food business and associated companies, partly offset by an increase in the net profit of the spirits, beer, and nonalcoholic beverages business. ThaiBev's Board of Directors agreed to propose an interim dividend payment of THB 3,769 billion or THB 0.15 per share, the same as last year. For the highlight of our first half results in the first half of 2024, the spirits business generated sales revenue of $65,497 million, a 0.5% year-on-year increase due to price adjustment and portfolio mix. In light of the effective management and operational and administrative expenses, the business saw an improvement in net profit margin while maintaining a steady growth in net profit of 1.1% year-on-year, reaching a net profit of THB 12,975 billion. The beer business recorded sales revenue amounting to THB 62,523 million in the first half of 2024, a decrease of 3.3% compared to the previous financial year. This was mainly due to a 5.7% year-on-year decline in total sales volume. However, net profit increased by a satisfactory of 7.1% to THB 2,713 billion due to a decrease in key raw material, and packaging costs, coupled with better production efficiency. The nonalcoholic beverages business recorded a 5.2% rise in sales revenue to RMB 9,929 million in the first half. Sales revenue was lifted by a 6.3% increase in total sales volume across all categories, some pricing, drinking water, ready-to-drink tea, and carbonated soft drinks. Despite increased costs from brand investment and marketing activities, the business delivered a remarkable 24.6% growth in the net profit to THB 354 million due to lower cost of packaging and improved production efficiency. In the first half of 2024, the food business registered THB 9,856 million in sales revenue, a 5.2% increase compared to the same period last year. The increase was driven by the opening of the new stores to expand customer reach while production efficiency improved, the increased cost of raw materials as well as the higher operational and administrative expenses, especially in brand investment to support the sales growth with it down on net profit, which fell to THB 33 million. So this is the summary of our first half of 2024 financial results. Now we open the call to any questions on our results. Operator, please open the line for Q&A.
Operator: [Operator Instructions] And our first question comes from the line of Permada Darmono from UBS.
Permada Darmono: In your prior disclosure to the SGX on August 11, 2022, you mentioned that ThaiBev remains confident that BeerCo as one of the leading beer players in Southeast Asia and its growth potential offers a distinct and compelling growth strategy and ThaiBev will continue to monitor market conditions, evaluate and explore opportunities to maximize shareholders' value, including, where appropriate, reviewing the proposed spin-off listing at an appropriate time. Previously as well at the Annual Information Meeting with analysts, Thapana has said that in any sort of collaboration with international brewers, the guiding principle is that ThaiBev maintains in majority control of BeerCo. Recently, of course, APAC has said in its press release that it is open for an M&A opportunity in Southeast Asia. So I'm not going to ask any questions about APAC, but my question to ThaiBev management is that has that guiding principle remains the same, i.e., a majority control in any potential collaboration remains the guiding principle? Or has that changed?
Unidentified Company Representative : All remain the same.
Operator: And our next question comes from the line of Divya Gangahar from Morgan Stanley.
Divya Gangahar: I had 2 questions. My first question was on the spirits business. I just wanted to understand the reason for the 1% decline in spirits. And if you can comment, I guess, the domestic volume decline would be probably higher than that given that the international sprits business did well. Could you talk about the difference between white spirits and brown spirits and where are you seeing pressure? And what would really need to happen for its volume growth to go back to positive? Or if you're already seeing that in the current quarter? And my second question is on the domestic beer business. Could you update us on where market shares are down, given the fact that we've had mid- to high single-digit volume growth? Has this been above industry? And do you expect this momentum from mid- to high single-digit volume growth in Thailand there to continue?
Unidentified Company Representative: The spirit market in Thailand. We have some slight decline from the brown spread. I think we had a good recovery last year coming from a bit lower base coming out of COVID. But then that recovery from the brown spirit consumption last year was a bit kind of fiscal this year. The economy itself doesn't look too good. So the brown spirit consumption that we've seen has started to experience a bit of a challenge. White spirits remain about the same for this period. We're not losing any white spirit sales. So in terms of that in itself, yes, the international market is still performing well with higher volumes and profits. So in combination allow us to deliver a higher profit as well because in Thailand, we do a lot of price control -- sorry, cost control to maintain our profitability.
Unidentified Company Representative: [indiscernible]. So according to your questions about the beer situation domestically. I mean, you asked the question for Thailand. So it's just a wall. I think from the number that we have seen for the first quarter that probably the total market in Thailand is a little bit slow, I mean, from October to December. However, starting from January to March or even until now, April and May, we see positive momentum for the overall beer market. There are several factors. Number one, we have seen that we have observed the number of tours that are increasing starting from the early February starting of the -- mainly from the New Year, [indiscernible] coming to Thailand. I mean, Chinese, Malaysian, and number one. And second one, we also seen the development of the -- I mean due to the, I would say, hotter temperature, the increase in the temperature in Thailand starting in February and March. So we see that there are more of demand for the Beer business in Thailand. And the last one, we also receive for the momentum of the [indiscernible] more events in March and April. I think for Q2, the overall beer market increased compared to last year. And then if you ask about what is our market share for the [indiscernible] and also for the total. We see that we are ahead of the competitors. So we gained our market share in Q2, and we still see the positive momentum in the Q3 as well. I hope that answers your question.
Divya Gangahar: I just have one clarification regarding spirits. Could you just clarify that you said that white spirits volume is actually stable? So where we are seeing the decline is actually on the brown spirits? And if you can explain what the reasons for that is and what needs to happen to see that reverse?
Unidentified Company Representative: Okay. [indiscernible] again. Yes, that widespread in this first 6 months compared to the same 6-month period, we'll have a stable volume, a slight increase, actually. The decline is a mid-single digit for the brown spirit because last year, we had a good run on brown spirit. So it's kind of like visa bit back to the base. Again, the reason we believe is just people are not going out as much as just the economy are not allowing people to spend more money. That is the reason that we believe in. So what would have to take place? I think looking forward, we have a lot more tourist arrival into Thailand, price is good. So I think we're expecting a better economy and maybe looking out in terms of the government plan in terms of injecting more liquidity or more cash into the hand of consumers, that probably will make a change in the next outlook for the next 12 months if it will really happens.
Operator: And our next question comes from the line of Llelleythan Tan from UOB Kay Hian Research.
Llelleythan Tan: So I just have 2 questions. So my question is more related to raw material for both spirits and the beer segment. So just looking at the second quarter performance, you see that the cost of goods sold as a percentage of sale of revenue has fallen. So I just want to understand, is it because of -- for the spirits, is it because of lower cost, or is it because of cost efficiencies and elsewhere? So then moving forward, I remember that the last meeting, I remember that [indiscernible] was a bit lower. So do you see a higher raw material costs moving forward? And also for the beer segment, the same question, do you see that saying that the cost of goods sold has dropped slightly? So do you see moving forward, the raw material cost also drop? And my second question, just a housekeeping question. Could you share just color on the contributions from associates? I see that sort of 30% year-on-year. So could you just clarify what happened there and could you shed color on that? I have these 2 questions.
Lester Tan Teck Chuan : This is Lester here. Let me cover the second question about the associates. That's mainly from Vietnam. We had 2 big associates. One of them is Crown Saigon. It's a packaging company, which we have a share in. They did turn in a larger loss compared to last year because of smaller orders. And then the second one is the [indiscernible] Group. They also turned in bigger losses compared to last year. And so it's these 2 associates who have mainly contributed to the numbers. But moving forward, we are working with them. In fact, I just had a call with Crown. We're looking to have better results in the forthcoming quarters moving forward.
Unidentified Company Representative: Regarding to your questions about the trending of the COGS for the beer business, so for the beer in Thailand as you've seen for the resource, the COGS to the percent of sales revenue, I mean, have the positive momentum to us, meaning that decreasing for the Q2. And mainly, I think that mainly from the more price that we have a really good team that many at the cost or the more price and also for the packaging, what are the bottle and for the TAM.
Lester Tan Teck Chuan: Okay. So on the spreads as a group. Well, the majority of contributions are coming from Thailand and the recent cost of goods inched down a bit as a percentage of sales. It's just some of the product mix changes in terms of cost structure. It doesn't actually change by that much. We used a bit more used bottles in the second quarter and in the first, but that's not significantly different. Input molasses costs for this season start to pick up a bit more than the previous season as well because of the weather and the output of the sugarcane production output in Thailand has reduced due to the weather as well. But we are expecting better output next year. So that should control on last cost going forward. Okay. I think you're asking about the associated profit, the associated profit reduced because there are only 2 major associate companies when we report and 2 major ones, both of them are listed. One is [indiscernible]. Another one is Fraser Property Limited, you can shake their earnings release separately because they're both listed on SGX.
Operator: [Operator Instructions] And our next question comes from the line of [indiscernible] from Pasha Financial.
Unidentified Analyst : I have 3 questions. Number one, [indiscernible], you did say that the international spirit is doing well. Can you confirm that the escalating situation in miso far has not had any negative impact on production and speed sales in Myanmar? And do you have any concerns about the political situation? Number two is on domestic beer, can you give us some update or some color of the market share performance of the new entrants from about the one-day beer? That would be very helpful. And then on the third question is on balance. I noticed that you actually have a positive free cash flow every quarter within the total of debt seems to be stay around THB 200 billion for the past three quarters. What is your policy on debt reduction? Just 3 questions.
Lester Tan Teck Chuan: Okay. So on Myanmar, well, our major subsidiary, Grand Royal is the more risky company in Myanmar. We continue to report growth in both volumes and revenue. We have a lot of price increases in the market because of the cost structure that we're pushing through due to depreciating currency. But on a quarter or quarter-to-quarter or 6 months to 6 months, we are reporting a higher margin as well because our price increase exceeds the level of cost structure that we're pushing through. So I think from the reporting local currency, we actually do have expanding margins and higher volumes. So that's -- it has been a very positive business in the past 2 years. And in terms of situations of the political situation, wouldn't probably want -- you shouldn't comment on the political side of thing. But what challenges us as a business always be the case is that the country actually has less foreign currency, so there's a lot more longer queue in terms of the foreign currency to buy the input raw material. So it takes longer in terms of weeks, and we'll be not talking about it should be maybe 2 weeks. It could have been 6 weeks to 8 weeks to work out the operation to bring in the input raw material. So those have actually been challenging and also securing foreign currency to pay for those. Those have been challenging as well. But we have a very good team and very good management, so we have overcome that very well and continue to report good profitability and improvement. That's from the business.
Unidentified Company Representative: [indiscernible] So regarding to your questions in number two, talking about the market share in Thailand, just referring to AC news and reading. So point one that I just want to mention is our brand, meaning [indiscernible] brand. We have a positive number. And if we compare with the other competitors. I think that now the market share is at the narrowest market checkup ever. So that's for the brand. And if we're talking about the company, meaning [indiscernible] the other player. I think we also see a lower cap between the companies. And then the last one, you asked about the new payers coming in October over last year. So I just want to say that the first point is we had a new payer so that it made expansion for the total business in Thailand. So that is the core of the market. And then the second one, if you add what is the task, I just would like you to observe the share in the big hypermarket in December for the newcomer -- yes. And then one for the [SE Mesa], they already picked the market share in December about 1.5% market share. And right now, there's slightly, I mean a godown to about 1% for the recent reading.
Lester Tan Teck Chuan: On the third question is on the balance sheet. Yes, we reported slightly higher total debt -- total interest-bearing debt. There are some timing differences as well. One is that we actually have a higher inventory closing the 6 months due to coming in for the selling season. So that number looks close to about THB 5 billion. And we also have some slight negative carry coming for that month of March because we have a bond deal in April. So we carry a bit of cash and debt coming into that quarter. So that's kind of resolving it in but after April debt repayment. As for the policy, we do have a policy to continue to reduce our debt as per our cash flow allows. That's continued to be the case, and we do manage our debt very carefully and reduce our repayment risk and manage to extend the maturity of debt including looking at fixed and floating interest rates all the time. So that's something that we pay great attention to.
Operator: [Operator Instructions] And our next question comes from the line of Tan Xuan from Goldman Sachs.
Xuan Tan: Can you talk a bit more about the competitive landscape within Thailand Beer, especially given that you have gained market share? What are the competitors doing? And any plans to increase SG&A.
Unidentified Company Representative: I think the situation in Thailand, I mean, the beer business in Thailand, competition is still fierce. And then I think in terms of performance, I think we did well. The share is growing. And then the newcomer didn't make any dent because overall market share, I mean, recently, it's only 1.2%. Their objective is to get 10%, but it's so far away from the objective. In terms of SG&A, we hope to be able to maintain interment sales at this level because it's quite high already. Actually, the newcomer didn't spend that much money because they have a bit of a problem on distribution. In terms of the distribution level, they are only up to about 35% MAX, while our -- and then our main competitors is up to 95% to 100%. So they are not spending money. Of course, at the moment, they're doing some price cuts, that's mainly because the beer is now dated -- I mean, the age of the beer is roughly more than about 4, 5 months. So they need to do something to get rid of the beer rather than take it back. But no one, I think us, and the big competitors did not follow the price war or anything. So we don't expect to have that kind of price war in the next 2 or 3 quarters.
Xuan Tan: Thank you. Got it. That's very clear. The second question is still on beer but longer term and both on Thailand and Vietnam. How do you think the demand is for international premium brands? And do you actually think ThaiBev will benefit with the international premium brand within the portfolio through potential collaboration?
Lester Tan Teck Chuan: Talking about Vietnam. I think in the long term, the beer picture for the country looks very good. Obviously, there are 3 big things that bode well for the market. First of all, obviously, it's a very young market. So the young demographic usually points to a better future for beer volumes. Secondly, is the market is booming economically. So that will help with income. And then thirdly, obviously, is the very strong beer culture in the country. I think of the entire alcoholic market beer takes up more than 90% of the total alcoholic market. So when you put these 3 things together, long-term-wise, the beer future looks very bright. And obviously, if you're looking at an international premium having a role in this growth in this market, yes, it will be there, especially when you see the economy picking up or the economy growing, and that's where I think we will work at it in many different ways. We are always expanding our portfolio, moving up the price ladder, the margin ladder, to take advantage of that internally. And if there are any partnerships in the future, I think I talked about this at the Sabeco call last week, that it will be done at a group level. It won't be done at the country level, and this will be decided by BeerCo regionally.
Unidentified Company Representative: Yes. So I just want to give color on the Thai beer market. At this stage of the economy, I think the growing market -- the growing beer sector is the economy. Our friend, Premium Beer, has a lot of problems. Right now, our Chango Brew is outselling the international sort of beer already, the premium beer. So I believe that currently, our portfolio is enough to really sustain the market for the next year or 2.
Operator: [Operator Instructions] And our next question comes from the line of Paul Chew from Phillip Securities.
Paul Chew: Just 3 questions from me. The [indiscernible]. The first one is on your slide, you mentioned price -- or the surprise adjustment. Could you maybe elaborate how much of the price increase or adjustment? The second thing is that you mentioned resume demand is going to be a bit hinged on the government or the fiscal boost. So sorry, are you confident in that? And if you are, do you have to prepare for any growth in demand, I guess, a secured question. My last question is just for spirits, you already have a dominant market share. Is there room to reduce your SG&A from the current 10% to 11%?
Lester Tan Teck Chuan: So on price increase, let me elaborate. Price increases take place actually across all our products. In Thailand, for this period, we have a very small price increase on [indiscernible], which is representing maybe about 1/3 to 40% of our rising business because we haven't increased the price for the base recall bottle for 4 to 5 years is it's been at this price for a long time. We have a price increase also in Myanmar, like I mentioned earlier, that because of cost poach, we continue to have to adjust our price upward. And internationally, our branded more whiskeys also have some price structures that we increase as well. So that just to explain. Coming to boosting the demand or any preparations, I think the certainty of when the government, the time the government will boost economies was actually not clear they kept saying end of the calendar year this year. So I think we're expecting that to come. Would there be any preparation? Actually not much because as long as you put money into the hands of consumers, it will actually increase the disposable income and allow the consumers to spend. So I think that's something that we don't think there will be any changes in terms of the way we work. In Thailand, room for SG&A. Actually, our SG&A is very tight in Thailand already. So I think any more room to answer has probably been not a lot. I mean we continue to improve efficiency. So that's reducing slowly, but we will continue to have projects that improve efficiency year-on-year. But I don't think any significant change to our structure of SG&A would happen for the domestic Thailand.
Paul Chew: Just one quick follow-up. The price increase that you made on the brass response, did you see any impact on the volumes? And also, can you maybe share when did it occur? And I guess like sort of you know that listing is just slow the coming quarters is possible.
Lester Tan Teck Chuan: Well, I think brown spirits in general, have taken a bit of a decline at a small decline, like I mentioned. So it's not having to do with the price increase per se. The price increase needs to be dealt with because I think no consumer product can just stay on the same price forever. So I think we didn't increase the price of our small bottle brown grid for, like I mentioned, 4 to 5 years. So it's been quite a long time. So we just pushed to the price increase as well.
Operator: [Operator Instructions] Our next question comes from the line of Permada Darmono from UBS.
Permada Darmono: I'm not sure who to direct this question to, probably to Nongnuch, if she's around. But in February, of course, Divani International Limited, which is an Indian firm and largest franchisee for Yum brands in India entered into Thailand and became one of the 3 KFC franchisees there. Since their entrance, have you seen any major changes to the competitive intensity of KFC? And tied to that, what does ThaiBev think about Yum Brands motive of having 3 franchisees in Thailand? Why do they do that? Because that's not typical of their [indiscernible] in other markets.
Nongnuch Buranasetkul: On the RD, I think the deal they announced that the Indian will take care, but I think they have not yet finalized, so they are working on. So that is what I can say now. For Yum, it's actually the 3 franchisees is Yam Thailand's policy that the has been a line since the beginning to balance the portfolio. So they will remain, no matter what, it will be 3 franchisees operating in Thailand. Thank you.
Permada Darmono: And can I ask a follow-up to that? How would ThaiBev characterize its balance sheet capacity currently, is it ready for sizable acquisitions again or not really because most recent acquisitions like the Kadron of New Zealand and so forth are quite small. How would you characterize your balance sheet strength today and capacity for potential M&A as an acquirer?
Lester Tan Teck Chuan: So yes, I think you can see that in the past 6 months or 12 months, we have done those small M&As and small acquisitions take place because it fit well within our parameters of what we want to do to invest over the long term. Any significant major acquisitions will probably need to be viewed seriously. Well, there is that capacity, but we just don't want to spend on things that are not strategic. But there are opportunities that haven't come along that easily. So we do, from time to time, continue to evaluate our potential acquisitions, yes. So I think the answer is a small one actually took place. And the bigger one, we actually -- it's only -- it aligned well and fit well with our strategy.
Permada Darmono: And third question is in relation to ThaiBev's agreement or franchise license with Yum. Does it allow -- or does that agreement allow ThaiBev or in a restaurant, I think the entity is QSR Asia, does it allow QSR Asia to operate KFCs outside of Thailand?
Nongnuch Buranasetkul: Currently, Italy is only Thailand right now.
Operator: Our next question comes from the line of Andy Sim from DBS.
Andy Sim: I have 2 questions. Sorry, I try to believe so this will be asked. The first question is actually with respect to beer raw materials. On the slides, you mentioned that the benefit of lower raw materials. Can we expect this to continue going forward and you actually further decline? And put this against also Vietnam is actually, I think last just earlier diet on the Sabeco side, you mentioned that this will only see the lower loan materials will only be seen actually maybe in FY '25. Does it apply to Thailand as well? Or how do we see the two? This is actually my first question. My second question is with respect also to beer. Maybe on the side question is actually, in this current weather condition, are you seeing actually higher consumption in terms of beer, especially in Thailand? And already seen actually in the second quarter or there's actually a further boost actually in the months post the second quarter.
Unidentified Company Representative: Talking about the amount. I think you did ask a very big question. Actually, now the market price is EUR 730 a tonne. But we are so lucky in the way that we have locked for the full year and until the first quarter of next year at 500 something only, we are so lucky in the way so that we have locked for the long term. But you asked for the future. Now you may not know that all the masters in the world are gathering in Bangkok to have a symposium. I did welcome them, and I did talk to them. They are very pessimistic about the world in Europe. They are very, very pessimistic about different costs that are going to rise. And they are very pessimistic about Ukraine. That is the Baley of the world. So I don't -- I cannot -- I have no crystal ball, but I can tell you that -- we will -- every day before I take breakfast, I look into this commodity because it's so niche. We have to take care of it and we have been always lucky, that's why Konsult already presented why we keep our cost of goods slowdown. I think I answered your question.
Andy Sim: Right. Yes. Thank you. So just to confirm, I think you're saying that the raw materials are actually hedged until it--
Unidentified Company Representative: I have one thing to go further to you that please, you may know that now China is having -- was overproduced or overcompensate or so ever. So this is the thing that also helped the beer business to push the aluminum can down, and we can use the Alucan from China, I mean, to what we call, if anything happened, China has more than enough Alucan to cover for Thailand or for Vietnam, don't worry. I think the Alucan cost will be okay because China is doing a great job.
Lester Tan Teck Chuan: And Lester here. Just to talk a little bit about Vietnam and our raw materials. I think you also know that we are hedged on a different pricing than Thailand. So we are hedged until the latter part of this year. So all the lower prices, we enjoy probably mixed financial year before we enjoy the lower prices. But something to talk about is that we are working closer together with ThaiBev to talk about group purchasing. And this is where the 2025 numbers is because of this group procurement synergies that we're starting to enjoy. So if you talk about moving forward, this partnership or this collaboration together with ThaiBev, I think we'll see positive results in the years moving forward.
Andy Sim: Sorry, just a follow-up on the second question in terms of the higher consumption or whether any impact--
Unidentified Company Representative: Yes, there's Sonion Thailand. Yes, the high time range that give the really positive impact to the overall beer consumption in Thailand.
Andy Sim: Is this already set in second quarter or--
Unidentified Company Representative: Yes, we are starting from the second quarter and continue the momentum in the third quarter .
Operator: And our next question comes from the line of Selviana Aripin from HSBC.
Selviana Aripin: I wanted to, I guess, understand your thought process around whether you see opportunities for price raising in beer in Thailand specifically. I mean there are, I guess, a confluence factor here, right? Because factors like weather appear to be in your favor, but I guess competition will probably try to keep you guys on your toes. I wanted to understand how do you guys think about it? How do you see the opportunities for price rising going ahead in the next I guess, 6 months to 12 months? Thank you.
Unidentified Company Representative: Okay. I think for Thai Thailand, if I just check the history in the last 2 years, we already increased the price 3x. And with this situation, meaning the role of the COGS, we don't have any plan to increase the price for the near future.
Operator: Our next question comes from Permada Darmono from UBS.
Permada Darmono: Sorry, it's me again. I keep coming back. In developed markets, we're seeing trends of millennials and zelenials or GenZ drinking less alcohol than the older generations. Has ThaiBev done any studies in Thailand and/or Vietnam if this is happening in Thailand and Vietnam? And if it's not happening, then great for ThaiBev's business, right? But if this trend does go to Thailand at some point, do you have any product development strategy to mitigate against such trends?
Thapana Sirivadhanabhakdi: I think generally, the trend of drinking less alcohol is actually it is a global trend. And in the Western market, you see more a big European market, big European companies start to have a more [indiscernible]. But for us, actually, when you look at ThaiBev, we actually have a full range of alcohol from beer, which is, to us, is considered lower alcohol because we do actually sell spirit at 40 degrees as well. So actually from the alcohol where we actually see in our core market covering all funds. Beer can go -- well low alcohol beer do exist in the market, but we have not actually -- if you talk about people drinking less alcohol, less alcohol we actually haven't seen a growth in low alcohol beers in both Thailand and Vietnam in any significant way. So showing the trend that people actually do a mainstream beer as 5% probably be where the consumers in these parts of the world would drink. So would there be a drinking less split and into beer? That could be, just depending on the trend going into the future. So I think from the spread side, we also do have in pipeline NPD, that selling spread that is in the lower alcohol front. So I think that's something we continue to develop over time. But to answer it is that the speed of that trend in our main core market actually much slower than in the Western market.
Permada Darmono: Those insights really, really helpful. But you haven't mentioned anything about the nonalcoholic beverage side in terms of product development, anything there that is meaningful? Are you going to try to boost basically things like [indiscernible] products?
Lester Tan Teck Chuan: I think we're aware of the held consciousness here. And then, for example, at Oishi, we continue to launch 0% sugar and all that. Yes, we do have NPD in the pipeline, and we observe the trend closely. And then to make sure that we're not really sort of missing the train, we do have NPD in the pocket.
Operator: [Operator Instructions] And as we have no more questions registered, we are now closing our presentation, and we'll begin the closing comments. I now hand back to our speakers.
Namfon Aungsutornrungsi: Thank you for joining our conference call tonight. And please feel free to contact IR department if you have any further questions at ir@thaibev.com. Thank you, and have a good night.